Operator: Thank you for standing by. This is the conference operator. Welcome to the NexGen Energy Third Quarter 2025 Results Conference Call. [Operator Instructions] The conference is being recorded. I would now like to turn the conference over to Mr. Leigh Curyer, Chief Executive Officer and Director with NextGen Energy Limited. Please go ahead, sir.
Leigh Curyer: Thank you, Gaileen. Good morning, and thank you for joining NexGen's Q3 2025 Financial Results and Investor Conference Call. My name is Leigh Curyer, and I am Chief Executive Officer of NexGen Energy. I'm joined today by Travis McPherson, Chief Commercial Officer; and Benjamin Salter, Chief Financial Officer. During today's Q3 update, I'll provide the latest uranium market dynamics, which is simply unfolding faster than most industry observers anticipated, driven by unprecedented huge uptake of nuclear energy across the globe and the strategic execution of NexGen's offtake marketing strategy. Further, progress as we prepare for our first of 2 commission hearings on the federal approval of Rook I in a 13 days from now. In addition, all the Rook I site activities and preparations updates to execute on this generational project that will set a new benchmark in the economic, environmental and social stewardship for the sector. At the conclusion of this presentation, we'll move to the Q&A portion of the call, where you are invited to ask Travis, Ben and myself any questions. Throughout the course of today's call, we will be making forward-looking statements. Please visit our website for all the relevant disclaimers. In recent months, we've seen an unprecedented alignment of policy, capital and geopolitical priorities in support of nuclear energy and a growing understanding of the constraints impacting uranium supply. As recently as last week, the Nuclear Energy Institute, NEI, held its Annual International Uranium Fuel Seminar in Charleston, South Carolina, welcoming industry executives from across the globe. The clear message from utilities was industry developments are advancing so rapidly, forecasts of electrical demand have increased over tenfold from as recently as those 3 years ago. There is crystal clear unprecedented nuclear energy uptake momentum behind restart efforts at a number of the currently idled U.S. nuclear facilities with additional negotiations underway on the other idled sites, driven by additional layer demand by the major tech companies. The full nuclear energy chain is undergoing rapid acceleration with utilities pursuing reactor upgrades, extended life cycles subsequent license renewals, all whilst evaluating [ SAMR ] deployment with major tech partners. This very simply is forecasting uranium demand at an accelerating speed. Just this last week, the U.S. government announced an USD 80 billion investment with Westinghouse to build new commercial reactors and have provided additional commitments to restart current idle reactors. But note, whilst recent mainstream headlines focus on the power generation component of this generational opportunity, in the United States, the government through the 2024 ADVANCE Act has accelerated modernization within the Nuclear Regulatory Commission and shortened key licensing time lines. While Energy Secretary, Chris Wright's call to expand the strategic uranium reserve reinforforces Washington's focus on fuel security and long-term nuclear capacity, including from allied sources such as Canada. Adding to this momentum, the U.S. and Australian governments recently signed a landmark critical minerals framework to strengthen cooperation across mining, processing and supply chain security. This agreement demonstrates a shared strategy among allied nations to ensure the stability and accessibility of key raw materials is necessary for geopolitical security. The only way to achieve the goals of all allied nations in this regard is cooperation, and we anticipate more announcements to follow demonstrating this approach. JPMorgan, one of the syndicated banks in our recent North American $400 million financing, which I'll discuss shortly, is the latest major institution to announce a USD 1.5 trillion 10-year plan to facilitate finance and invest in industries critical to economic security and resiliency to assist companies in boosting their growth, innovation and accelerating strategic manufacturing, a move serving as a concrete signal of finance backing nuclear and uranium, the key fuel in the value chain. Further, Morgan Stanley released its National Security Index, which included NexGen among the constituents, again reinforcing NexGen's unique role as a go-to solution provider to Allied Nations needs for uranium supply. Specifically to the uranium market over the third quarter, spot prices rose 16% to USD 83.25 a pound, driven by an increase in the liquidity to the market over August and September. This highlights how fast the market prices react when demand enters the spot market. NexGen recognizes as demand hits the spot market, price discovery begins to emerge that efficiently signals true incentive pricing, which is in the interest of sellers and buyers. The increased liquidity in the spot market coincided with more supply disruptions over the third quarter. We witnessed widespread production guidance cuts around the globe, including the current producers at Kazatomprom and Cameco, where production issues have persisted, simply reflecting late in-life mine challenges are present. Prior years, healthy inventories of on-hand levels are being rapidly exhausted and borrowed inventory levels are skyrocketing to meet post offtake commitments at lower than current spot prices. These dynamics are reinforcing the need for a sustained higher price environment, a trend already materializing with the term price rising to USD 86 per pound, its highest level since May 2008. The shift toward a higher for longer market is here, arriving at a pivotal time for advanced build-ready projects like NexGen's Rook I. The work NexGen has done over the last 12 years is aligning with all of the market dynamics. But note, Rook I cannot service this gap alone. The forecast demand supply deficit into 2030 requires multiple Rook-Is to come online, and they simply do not exist. Substantially higher prices in the future will be the consequence and all our advanced development company cohorts in Canada, the U.S. and Australia are incredibly well leveraged to forecasted high uranium prices of the future. In September, the scale and speed of this structural shift taking place in our industry was the key highlight from the World Nuclear Association Symposium in London. Attendance reached a record 1,300 participants, up from 800 a year earlier, and the biannual fuel report upgraded all 3 global nuclear growth scenarios upward. Over the next 15 years, the upper case projects annual uranium demand reaching 530 million pounds per year, while the base case projects 391 million pounds. Today, demand is just under 180 million pounds. In 2024, primary supply was estimated to be 150 million pounds with the deficit made up of continued inventory drawdowns, which only prolong and exacerbate the challenges facing primary uranium supply growth. With demand far outpacing supply and global mine supply at the same level as it was 10 years ago, one can see the need for both significantly higher uranium prices as well as policy support to address regulatory time lines and their impact on capital formation. Notably, the WNA Symposium and in their report, the rising engagement from the technology sector was observed with Microsoft formally joining the WNA, reflecting the growing nexus between AI-driven power demand and nuclear energy's key role as a clean baseload generation to reliably power this insatiable demand. As the uranium market enters its seasonally strong contracting period, we expect to see continued strength in uranium prices. And against this favorable backdrop, NexGen remains uniquely positioned with the world's most advanced, high-grade build-ready uranium project to deliver a new secure supply the world is depending on. With respect to contracting, negotiations with many utilities across North America, Europe, the Middle East and Asia continue to progress. Utility activity has intensified markedly with counterparties actively seeking to secure long-term supply beginning in 2030 and beyond, a clear reflection of a tightening market fundamental and growing recognition that future supply will be challenging. Negotiations are advancing on offtake where these forward-looking utilities are seeking to finance NexGen into production. We expect multiple agreements to be finalized in the coming quarters as utilities move to lock in future delivery schedules. A consistent theme across these discussions is the strategic emphasis on supply diversification, and this is where NexGen is truly unique. NexGen is the most material source of supply globally that truly provides material derisked diversification in terms of both technical, given its competent ground setting and sovereign being located in Canada. Utilities are increasingly looking to reduce reliance on state-sponsored producers whilst also addressing the reality that legacy mines are depleting and encountering consistent late in mine life production issues. The first -- with the first commission hearing only 13 days from now on November 19 in Ottawa and the second scheduled for a single day between February 9 to 13 in 2026, NexGen is excited to transition from advanced development to building the greatest natural resources project in recent memory immediately upon receipt of federal approval. This milestone represents the culmination of over a decade of rigorous technical work, community indigenous engagement and regulatory process and the curated expert team we have developed are construction ready. The support we've received has been significant. All 4 indigenous nations located in the local priority area are legally supportive and publicly advocated of the immediate approval of the project, including the province of Saskatchewan, which continues to champion as a priority project. The CNSC staff have recommended approval in their technical assessments and the Canadian government has increasingly recognized the critical role of clean, reliable nuclear energy in meeting climate and energy security objectives. That alignment across regulators, government and communities reinforces our unique and genuine approach to resource development. This is a story that Canadians are very proud of as it is redefining multiple ways how resource projects can be and are now being developed both technically, environmentally and socially. We'd like to thank our investors for their support in our highly successful global equity offering this past month. With the close of our AUD 1 billion raise, NexGen has further strengthened its financial position to advance the development of the Rook I project immediately upon final federal approval. Interestingly, the vast majority of capital was raised from outside of Canada, predominantly in Australia, where our registry is reflecting an ever-increasing Australasian profile, demonstrating NexGen's unique ability to attract hundreds of millions of investment dollars into Canada, capital that will directly benefit local communities, the province of Saskatchewan and the broader Canadian economy. Proceeds will support the balance of detailed engineering, preconstruction activities and general corporate purposes, positioning the company to deliver on its next phase of execution and growth. The Australian raise has also positioned NexGen to meet the market capitalization and liquidity thresholds for the ASX 200 Index eligibility, the preeminent equity index in the Australian market. Our current cash balance stands at approximately CAD 1.2 billion, with funding to complete the 2025 site program and initiate development for the first 18 months post-approval engineering, procurement, training and construction. We have purposely maintained full strategic optionality with a strong cash position and active negotiations with strategic investors and utilities, amongst others, resulting in a variety of highly accretive financing alternatives. As we always have, we will optimize the financing alternatives in maintaining our patience with respect to the market, which continues to be recognized. Our production flexibility, which combined will maximize the value of each pound of uranium we produce and sell, becoming the most leveraged company in the world to rising higher uranium prices. To our site activities. Since 2013, NexGen has successfully safely delivered Rook I site activities covering all aspects of exploration, engineering, development and supporting infrastructure totaling CAD 706 million. During Q3 2026, construction of the exploration, accommodation and infrastructure, including the exploration air strip, dualway access road upgrades and the expanded exploration camp facilities has been a terrific opportunity for NexGen to once again validate its planning, management and construction execution skills, incorporating NexGen's elite safety performance. This $98 million program is meeting precise design scope with an approved budgeted cost and schedule with completion for early Q2 2026, all whilst maximizing local indigenous sustainable commerce and employment. There is simply no better preparation for after federal approval construction, and the NexGen team is in place and ready to expand the same disciplined, safe on budget and schedule execution in the construction of Rook I. On the procurement front, upcoming critical path items are being secured and ready for deployment immediately following federal approval. We are also seeing exceptional interest in participation in many of our training programs and joining the NexGen team. We recently had over 1,300 applicants for only 20 open positions, a clear signal that the highly experienced team we've assembled is attracting professionals that want to be part of NexGen's unique elite standards culture. Turning to our exciting exploration program. Drilling at our basement-hosted Patterson Corridor East PCE discovery continues to deliver. Reported results validate the continuity of our high-grade subdomains and confirm that the system remains open for expansion in multiple directions. The profile emerging at PCE is incredibly exciting and speaks to the exploration potential for additional Arrow type discoveries on our dominant land position. Assay and Scintillation results are scheduled in coming months as they are received. This exploration, the largest reported in the Athabasca Basin for 2025 is strategic and forward-looking. With a typical discovery to production time line of 15 to 20 years, identifying and advancing high-quality and technically superior deposits today is essential to sustaining long-term production optionality alongside Arrow. This is essential to sustaining the nuclear industry and the key role NexGen will play in stabilizing energy infrastructure globally. We are undertaking to meet global demand supply deficits for the next 50 years, not just the next 5 years, which is NexGen's differentiator to the current uranium producers, and we are delivering it through the development of Rook I into production post approval and in parallel through the drill bit at PCE. As we move into the next phase, our priorities are clear: receive final federal approvals and mobilize to build the most strategic and significant new mining project globally. We're approaching this in the same way as we always have with accountability, honesty, a continuous improvement mentality and the confidence to do things the right way. Our indigenous community and our partners, the environment, regulators, Canada and the world population, all our shareholders in a most efficient, highly accretive manner. Through years of dedicated effort, the NexGen team has transformed an underexplored ground into a national champion and a strategic asset of global significance. The macro backdrop has never been stronger. The rise of AI, the push toward energy security and the need for economic growth through natural resource development have positioned NexGen as the epitome of the solution. The size of the prize has never been bigger. And upon final federal approval, we are approximately [  T ] minus 4 years to after-tax cash flows that will take us into the top 10 of global mining companies. The government of Canada recognizes the urgency and is taking meaningful steps forward with the passing of Bill C-5 the Building Canada Act. This act aims to prioritize projects of national interest in order to advance Canada's economic resilience and independence and leverage its unique position as the critical minerals deposit of the world. The success of this ethos relies on translating verbal commitments into accelerated execution, and we're focused on doing our part. Canada has the opportunity to lead the world in critical minerals exports and with the commitments made in Ottawa to support accountability and timeliness, the economic and social growth that will come will benefit Canadians for generations to come. The outlook is unprecedented in terms of actioning such a positive generational opportunity for NexGen and all those advanced development companies in the sector that have been developing their projects to meet the unsatiable demand. The nuclear industry environment is changing rapidly. Evolving market -- uranium market fundamentals are set to provide unprecedented upside. Those companies that will succeed have recognized the changing environment, have exhibited the courage to embrace it and lead it, looking to tomorrow in the next 50 years as opposed to looking backwards, relying on historical and outdoubted practices for comfort. The best way to deliver in the future is to create it. And that's exactly what NexGen has been doing since 2011 when a group of committed industry professionals went to the overlooked, never explored against popular geological invention at the time, opposite side of the Athabasca Basin and discovered what is now widely recognized as the world's best uranium project. From a geological perspective, NexGen has rewritten what is possible and still writing that story with PCE and beyond at Rook I. From an environmental and social perspective, set new standards in what can be achieved through genuine innovation and consultation. And from a shareholder return perspective, is poised to deliver returns on a per dollar spent basis that sets a new watermark for the sector. Thank you to everyone on the team committed to this company. We're full of good energy. Now we'll open the call to questions.
Operator: [Operator Instructions] The first question is from Ralph Profiti with Stifel Financial.
Ralph Profiti: Leigh, firstly, there's been some commentary by a competitor on the prudence of certain contracting strategies as it pertains to the ability to deliver pounds and that it's a risk being brought forward by the utility themselves at a growing rate. I'm just wondering what's been your experience in dealing with utilities and building sort of a mutual confidence in delivery of targets?
Leigh Curyer: Yes. Look, we -- thanks, Ralph, for the question. We are experienced in -- like we are incredibly busy on the contracting side, multiple negotiations with utilities in the U.S., Europe, Asia and the Middle East. And the key thing that is coming through is a diversified primary mine supply. And they see NexGen as being a real leader in meeting a more diversified supply chain fuel cycle for their needs. Look, we've signed 4 contracts already. We've got another 6 under negotiation. We've accrued pricing terms that are higher than what's been reported in the market. And we're averaging 2 million pounds over the first 5 years. Now our breakeven is 3.5 million pounds at Arrow. And I guess that criticism that has been commented or put out there really reflects that we leverage to this changing environment, and we're acting on it. And whatever that means for them, I'll let them deal with that. But we are simply leveraging our project to the demand and in a manner that is beneficial to the stakeholders at NexGen and whilst meeting the key technical and sovereign risks for the utilities. So yes, that we're going forward on that strategy. It's very simple. It's very clear. And it's gaining a tremendous amount of traction with major utilities in the U.S. and across the globe.
Ralph Profiti: I think it's an important answer. Also, I'd like to ask a follow-up on your experience on procurement of sort of that technically skilled labor and the experienced upper tier construction management that NexGen is going to have in-house? And are there any important hiring gaps that still concern you?
Leigh Curyer: Yes. We have -- our philosophy is that there's a NexGen team member that's responsible for each key aspect of our operations, both when it comes to mining, exploration and also the nontechnical aspects, be it finance, legal, communications, any of it. We have a person within NexGen who is responsible for that. And basically, what you're seeing is like an expansion of the teams of the teams reporting to those key executives that we already have in place. We are experiencing huge demand in terms of coming to NexGen and wanting to join the team. We put out for 20 open positions in September and had over 1,300 applicants. That, coupled with our training programs up in the local project area, it is a key aspect, but one that we are ahead of. And I think the project itself plus the company's culture is attracting the right type of people to our organization. And we've done an enormous amount of planning around that, and we're currently ahead of it. And look, I think labor availability sometimes gets unfairly used as an excuse for a number of mining projects around the world. We've been planning this for 7 years since we submitted the project description. We have a very simple project, a very simple mine and in a great location. And so attracting people to this project, which is a generational project, we're not experiencing some of the same labor challenges as what other companies in the sector are. So on the risk registry, I'm very, very comfortable with our current position and our forecasted position as we progress into construction and production.
Operator: The next question is from Katie Lachapelle with Canaccord Genuity.
Katie Lachapelle: During the prepared remarks, you noted that you've got forward-looking utilities that are looking to finance NexGen into production. Can you expand a little bit on what you mean by that? Is that through the traditional term contract negotiations you're discussing right now or potentially prepayments for offtakes? And then as it pertains to term contracts, obviously, we've seen the base escalated price go higher over the last couple of months. So how are you seeing a change in terms under your negotiations? If you could comment on any floors or ceiling?
Leigh Curyer: Sure. I'll just hand over to Travis for that one, Katie?
Travis McPherson: Yes. Thanks, Leigh, and thanks, Katie, for the question. With respect to financing and as it relates to the utilities, yes, I would say that we're negotiating and exploring all options with respect to financing. So that includes prepayment. It includes interest in the project itself. And I think importantly, to Leigh's earlier point, it reflects this growing understanding of where the market is going and the supply gap that exists today and that come 2030 becomes very, very challenging for them. So there's a clear understanding from our perspective that you can't sit there and wait around. You need to be proactive, and they are being proactive with us. And then with respect to offtake contract terms and discussions, obviously, confidential in nature. But what I can say is that, again, all of our contracting is on the basis of where the market is going to be in 2030 and beyond when it's relevant for us, not what the price is today or tomorrow. And so when we're having discussions with the utility, it's on that basis. And so the pricing and all the other terms reflect that world. And again, very much getting significant buy-in from around the world from our counterparties that we're discussing this with. And so it is -- again, we're extremely busy on this front. And I would say that there is this growing understanding of where the market is actually going and these utilities want to get in front of it and want that diversification and want to secure new supply.
Katie Lachapelle: Understood. And then maybe just one quick follow-up. You mentioned a breakeven amount of 3.5 million pounds in the prepared remarks. Do you guys have a targeted amount of contracts or targeted percentage of coverage that you would like to have before making a final construction decision? Or do you feel comfortable commencing construction and then during the build layering additional contracts?
Leigh Curyer: Categorically, 100%, we are very comfortable with starting construction with just the contracts that we have in place today. As I said, we're almost at breakeven. And then we -- on top of that, we have another 26.5 million pounds fully exposed to the future price of uranium. Now there will be contracts that we sign offtake negotiations or contracts that we signed that will be very heavily tied to the market price at the time of delivery. But we're not -- that is the key principle driving our contracting strategy. We don't have a fixed component with respect to that. We are merely taking advantage of our extremely low cost per pound and the technical certainty around our production volumes. We can ramp production up to 30 million pounds from 3.5 million pounds breakeven very simply without additional sunk CapEx. So our contracting strategy merely reflects the technical and sovereign profile of the mine, which all companies' contracting strategies should reflect. We just happen to have a project that has incredibly strong technical competency and very high economics.
Operator: The next question is from Andrew Wong with RBC Capital Markets.
Andrew Wong: So just maybe on the longer-term implications on contracting again. the Rook I project, obviously, is large and has implications for that longer-term S&D outlook. And given that the approvals are getting there, but not quite approved yet, are the utilities waiting to see how Rook 1 timing plays out before they make decisions on contracting? Like just in general, like how does that potential timing of the project -- how do you see that affecting the utility behavior overall?
Leigh Curyer: Yes. Travis, go ahead.
Travis McPherson: Yes. Thanks, Andrew. No, the timing, I wouldn't say is in terms of permit approvals and stuff isn't relevant for the discussions that we're having with the utilities because all of our contracts are based on the commencement of commercial production in the contract. So it is subject to starting with an understanding that there is, I would say, increasingly less uncertainty around the precise time line of producing uranium given the advanced stage of the permitting process. But an understanding that, yes, we're developing a new mine. And so it is -- delivery is subject to the commencement of commercial production. And again, that just speaks to the fact that utilities are understanding of where the market is going and wanting to secure uranium from this new mine.
Leigh Curyer: We'll probably experience an uptick from some utilities that we're not currently in negotiations with. That's certainly possible, Andrew. But to Travis' point, that hasn't been a determinative factor in the offtakes that we've signed to date or the ones that we have under negotiation.
Andrew Wong: Okay. Understood. And then just on the TCE results, they continue to look pretty promising. So if after resource is reported and maybe doesn't get fully reflected in the shares, would you consider some sort of spin out?
Leigh Curyer: Yes. Look, it's possible, very much so. And if we feel that it's not getting its fair value, that would be something that we would definitely consider. But time will tell. I think the way PCE is progressing, where there's still so much more drilling to do before we truly understand its nature. And once we do understand its nature, I think that could be a possibility if we don't feel that it's truly getting valued as it should be. So yes, that's something -- yes, to answer your question, Andrew, that is something that is possible. But if that was the case, we would ensure that PCE has a right subject to additional approval to be extracted through the production -- proposed production exhaust Shafts at NexGen and any corporate structure would not inhibit the optimization of the exploitation of that deposit.
Operator: The next question is from Craig Hutchison with TD Cowen.
Craig Hutchison: You mentioned in your opening remarks Bill C-5 and the potential benefits to NexGen. And I just was kind of wondering, given the time lines, your permits are pretty well defined here, how could Bill C-5 actually benefit NexGen? And maybe more broadly, have you had direct discussions with the federal government? And how do you see them benefiting you guys and helping you guys in the future?
Leigh Curyer: To clarify my point with respect to Bill C-5, Craig, was that it reflects the Canadian government's commitment to nuclear energy and expediting key projects. I agree with you. I think our project is so advanced through the existing regulatory process that any Bill C-5 will have minimal impact on Rook 1 itself. But what is exciting for our cohort of advanced development uranium companies is that I think the intent of Bill C-5 is extremely encouraging for them. So anyone with a project in an advanced development project in Canada, I think that is very exciting in terms of the Canadian government really recognizing the need to expedite approvals. And we are in parallel, very strong advocates of that. We think congratulations goes to the federal Canadian government for recognizing it and immediately taking action. He's only been in office since May. He has Prime Minister [ Karni ], but he's already on to it. So whilst not specifically impacting NexGen, I think it's a very clear signal for not just only uranium mining, but also the development of small modular reactors in Canada and more broader nuclear programs. So it's a general comment that it's great for nuclear, which NexGen is a part of that value chain.
Craig Hutchison: Okay. Great. Maybe just a follow-up. On your last call, you guys said you're pretty well advanced on long lead critical path items, procurement, et cetera. Can you just give us a sense of where you're at -- where you're at now and whether there's any more to kind of go there a of your permits next year?
Leigh Curyer: Yes. So we have a very detailed execution schedule, obviously, dependent on receiving final federal approval. And where it's possible, we've put our orders in for the long lead time procurement items such as the freeze plant for the temporary shaft sinking for the first 100 meters. That's in a warehouse currently already to be shipped up to site on final approval. Other aspects with respect to the hoist house, et cetera. Look, we know what we'll be doing every single day of the construction period, and we have interrogated it multiple times. The benefit of a long permitting process, it gives you an enormous amount of time to plan, revise and prepare. And that's what we have done. So we've got also an additional $1 billion in our treasury. So that process will continue and will exist right throughout the entire construction execution period, but we're well ahead of that as we speak.
Operator: The next question is from Mohamed Sidibe with National Bank Capital Markets.
Mohamed Sidibe: Could you please give us some color on where detailed engineering is currently sitting for the project and where you expect to be by the time you FID?
Leigh Curyer: Yes. So detailed engineering is progressing. The -- I would say, detailed engineering on the -- well, in summary, detailed engineering on the first items for the first 18 months of construction is complete and detailed engineering will continue throughout the next 18 months and is moving into more of the surface infrastructure and the mill. So yes, it depends on what aspect of the construction that you're speaking about. But the first 18 months and all those items is fully engineered. I want to be clear, we have already made our final investment decision. We made that back in 2017 when undoubtedly, we knew we had a world-class project on our hands, and it was approved subject to financing and regulatory approval. So there's not going to be a pause or anything post the final federal approval whilst we make a final investment decision that has already been made.
Mohamed Sidibe: So as it relates to the, I guess, shaft sinking process, that detailed engineering process is already completed, if I understand correctly.
Leigh Curyer: That is correct. Yes.
Mohamed Sidibe: Great. And given the...
Leigh Curyer: And note though, just to be clear, actual -- if your definition of shaft sinking, our definition is from the moment we prepare the foundations, have all the hoists in place, et cetera, and commence underground shaft sinking, there's quite a bit of work prior to the actual boring of the shafts. So -- but for all intents and purposes, the first 18 months of construction items is fully engineered.
Mohamed Sidibe: And so just moving on to your balance sheet. Given the strengthening of the balance sheet post quarter there, can you maybe remind us of the financing mix you expect for the remainder of the funds to bring the project forward? I think Travis mentioned everything is on the table in terms of potential interest at the project level or debt or any of the mix. So any color on that would be appreciated.
Leigh Curyer: Sure. Travis?
Travis McPherson: Yes. Thanks, Lee. Yes, I mean, everything is on the table, and we have tremendous interest -- and it should be unsurprising. I mean it is a world-class project, a world-class company. So we have tremendous interest from around the world in a number of forms. We've spoken about them before, but everything from strategic project level interest, strategic equity, project finance, converts, prepayments, et cetera. And the positive thing is that, that interest continues to grow. Those discussions are really in kind of like advanced negotiation stages as we speak. And what the $1 billion did is enable us to be under any time pressure with respect to determining the optimal mix with all of these great options at hand. So we're in a very privileged position to have so much interest from around the world in so many great forms. And now our job over the next 6 to 8 months is to systematically evaluate and finalize that mix in line with the things that are most important to us, which are really around maintaining our leverage to future uranium prices and our ability to leverage our unique production flexibility optionality. So yes, we would target finalizing that sometime next year and probably in the -- around the midyear point of time.
Operator: The next question is from Grace Symes with Energy Intelligence.
Grace Symes: The 30 million pounds per year production target, you've noted it's quite flexible. I'm just curious if there's any plan to sort of raise and lower that production to match uranium prices or match contracting or like to store produced pounds dependent on prices so as not to flood the spot market?
Leigh Curyer: Yes. Firstly, the mine has incredible flexibility, a breakeven point of 3.5 million pounds and a capability to seamlessly reach 30 million pounds per annum nameplate production. We will produce in line with the market conditions at the time and optimize the return on every single pound produced. The fact is the most simplest mine plan and removing the least amount of dirt from underground, given the deposit results in a 30 million pound per annum output from moving just a mere 1,300 tonnes per day. Having said that, I see no scenario where we won't be at maximum production levels from 2030 onwards given the clear current demand, and that's just current demand, little only it increasing, which is going to and also the very fragile mine supply amongst the current producers. We're looking at a forecast for 2025 of around 135 million pounds for the year and consumption is at a touch over 200 million pounds. And historical inventory levels have been drawn down rapidly, and you're seeing producers even borrowing pounds to meet current contract commitments. So I personally don't see a scenario where we are not at maximum capacity from 2030 onwards. So -- but we have the flexibility to go right down to 3.5 million pounds and still make money. So we're just leveraging that technical and economic profile of the mine.
Grace Symes: And then just one follow-up. There's been some speculation in the uranium market next hoping for a buyout before enters production. I'm just wondering if you can comment on that at all.
Leigh Curyer: Well, with respect, those comments in the market are absurd. This project is stewarded by a team of committed individuals that have been in place for over 10 years now. Permitting -- when you look back even when in production, permitting was always going to be the largest risk because of the number of diverse interest groups that are involved. We have, over the last 10 years, brought all of those interest groups together. The advocacy for the project from all those groups is incredibly strong, in fact, at an absolute level. And we can't wait to get into construction because then everything is in our hands. And that's what we like at NexGen. And these projects, this is a generational project. They don't come along very often. We have the expertise in-house. We have the financing capability, and we are taking a very technically simple mine in a mining context into construction and production. And everything we've done to date, we have set a new standard in the sector, that is going to be maintained through construction and production. And I don't think there's a group that has demonstrated a more efficient use of capital along the development path and has not wasted a day. Under NexGen stewardship, this project will be in production the soonest, meeting preplanned scope. and doing it in a manner which genuinely incorporates the various stakeholder engagement. So yes, there's absolutely no intention from the NexGen Board or the executive or the team. We'll be bored, frankly, within the space of about 2 days if we sold this company. So we're the best for it for our shareholders, really to make the most with respect to their investment, that is very clearly keep it independent within NexGen and enjoying full leverage to the future price of uranium as opposed to getting locked in to historical offtake practices.
Operator: The next question is from Graham Tanaka with Tanaka Capital Management.
Graham Yoshio Tanaka: Congratulations with your progress so far. I'm curious about your plans on exploring the many of the -- I think I believe it's 7 quarters additional acreage and whether you might be -- what you might need to accelerate exploration development of a second -- basically a second or third or fourth one. What are the dynamics of what will make you accelerate or keep the current pace of exploration? And if you could also just touch a little bit on how you're doing on the Patterson Quarter East.
Leigh Curyer: Yes. Thanks, Graham, and also for your very long support from right from the beginning. As I mentioned, we are exploring to solve this challenge for the globe for the next 50 years, not for just the next 5. As you're aware, we found Arrow with the very first -- or the 21st drill hole, but the very first drill hole within a 4.5-kilometer radius of its location and PCE is 3.5 kilometers from Arrow. A very significant mineralizing event has occurred in the area and not just on our project at Arrow and PCE, but we have multiple occurrences along the Patterson Corridor. And we still -- as you pointed out, we still have another 7 corridors yet to explore. We haven't even finished exploring on the Patterson Corridor where Arrow and PCE is even though PCE is on a separate conductor, it is still recognized as being in the Patterson Corridor. So we've got an enormous amount of drilling yet still to do. And as a base case, though, we have Arrow, which will be around 23% of global mine supply. It's quite incredible when you think in context, nuclear fuel is becoming the go-to energy source amongst the developed nations and emerging nations. And you've got Saudi Arabia, who's the world's most dominant oil producer at 9% of oil supply. So people have referred like whether Saudi Arabia of uranium out of the Rook I project. And I think the mineralization is suggesting we've got an enormous amount yet to discover. I don't think we were that good that we found the very best deposit on the very first drill hole within a 4.5-kilometer radius or the 21st drill hole on the property altogether. We have another 2 land packages as well adjacent to Rook I into SW1 and SW3. That's why we built an expanded accommodation camp for exploration. We could have 20 drill rigs for 20 years and still not complete the full geological evaluation. But we know we'll be producing around 23% of the world's mine supply from Arrow post approve -- 4 years post approval. And we've already got a backup forming at PC. It looks very analogous to Arrow in every respect. And when you consider the mineralization outside of our -- like also at Patterson Lake South, which I think there's enough evidence to suggest it's the same mineralizing event, something incredibly significant occurred in the area with respect to uranium mineralization, and I feel that we're just scratching the surface, frankly, and our results are evident of that. PCE, we've got some assays coming imminently, followed by more scintillometer results as the program concludes for 2025. It will be back up and running with a similar sized program in 2026. And that really does speak to -- we've got a lot of work to do before we fully just have a basic understanding of PCE as well.
Graham Yoshio Tanaka: I'm just wondering what -- if there is a path towards deciding what will trigger an acceleration of the development of a second Arrow at PCE or elsewhere, if what kind of pricing might accelerate your development process of another Arrow?
Leigh Curyer: Look, we're very focused on doing what we do well. The exploration team as we go into construction are kind of like a division within NexGen all on their own. But I feel 4 rigs at PCE is a decent program. It was the largest program in the Athabasca Basin for 2025. And at a base case, you'll see that continue in 2026. Look, as we speak, Graham, yes, you'll see a similar program to 2025 in 2026. But if results can change everything in a heartbeat, frankly. So I guess all I can say is watch that space is all I can say. We want to execute well.
Graham Yoshio Tanaka: Yes. I just -- I'm just sort of curious if pricing and interest from utilities, et cetera, would suggest the need for another Arrow, how fast -- how early could you bring on the PCE or any other prospect? Are we talking 10 to 12 years?
Leigh Curyer: Yes. So look, PCE, look, I'll -- without preempting anything, conceptually I think there's enough evidence to suggest if you were to develop PCE, it would go -- it would come out through the same production shaft as what's proposed at Arrow. That would be subject to additional permitting. But given our permit has been done on a basis of like recognizing an area of influence, it wouldn't be starting from scratch at all. But I think first things first, we get Arrow into production, operating at the level that it is capable of. And then we'll determine that will be the first step. And then we'll make decisions based on the market conditions at the time. But I concur with yourself, Graham, I actually think there's going to be enormous demand beyond 30 million pounds a year at Arrow, we can't fill the gap that currently exists on an annual basis. So yes, maybe the C-5 will be very advantageous to NexGen when it comes to PCE to Craig Hutchison's earlier point. So yes, it's very much on the radar, but first things first, we want to execute very, very well on Arrow and Rook I and getting that into construction and subsequent production.
Operator: The next question is from Alain with [indiscernible]
Unknown Analyst: So are you hearing me?
Leigh Curyer: Yes, I can hear you.
Unknown Analyst: Okay. Last week, we saw the creation challenge Saskatchewan approval of Denison Mine Willow River uranium project, citing inadequate consultation on Treaty 10, right? So I have 2 questions. Are your mine is on third territory? And secondly, do you see things like that similar thing can happen to you? And can it postpone the opening of the mine?
Leigh Curyer: Well, I can't speak to -- out of respect for Denison. I won't comment on that particular situation because I haven't been involved with the consultation and engagement with respect to that project. With respect to our project, it's very clear that the 4 identified communities in the local project area identified by the federal government and also the government of Saskatchewan is very clear with respect to our 4 communities. We have undergone study agreements in 2019, which set the foundation for collecting all of the cultural studies and appreciations, and we took that and incorporated into the design of the project, respecting all of those cultural sensitivities. Further, we then executed legally binding impact benefit agreements with those 4 communities in the project area that covers the entire life of the project and closure with respect to environmental, commerce, employment and community programs. So I believe we have met and exceeded the requirements and have the full support of those communities that are identified in our project area. And so yes, I'm very, very confident with respect to our position and the conclusion of the approval process from that perspective.
Operator: This brings to a close the question-and-answer session. I'd like to turn the conference back over to Leigh Curyer for any closing remarks.
Leigh Curyer: Yes. Thank you, Gaileen. I'd like to thank everyone for their participation today and the excellent questions. It's an incredibly exciting time for the company. Well, it always is, frankly, with what is unfolding at NexGen. And I certainly welcome any additional questions that you may have. Please contact Monica, Paula and Stacy or Travis and myself, and we'll be more than happy to answer them. But no, we sincerely appreciate everyone's support. Very much looking forward to this fourth quarter and 2026 in what is going to be an incredibly exciting time, not only for the market, but for the company as well. So thank you, everyone.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.